Operator: Greetings and welcome to Superior Drilling Products Fourth Quarter Fiscal Year 2022 Financial Results. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Craig Mychajluk. Thank you, Craig. You may begin.
Craig Mychajluk: Yeah. Thank you. And welcome everyone to our fourth quarter full year 2022 earnings conference call. We certainly appreciate you joining us today. Joining me are Troy Meier, our Chairman and Chief Executive Officer; and Chris Cashion, our Chief Financial Officer. Chris will first review our results in detail and then Troy will provide an update on the company's strategic progress, after which we will open up for Q&A.  You should have a copy of the financial results that were released before the market this morning. You should also have copies of slides that accompany our conversation today. If not, both documents can be found on our website at sdpi.com. Turning to slide two, I'll point out that we may make some forward-looking statements during the formal discussion, as well as during the Q&A session. These statements apply to future events and are subject to risks and uncertainties, as well as other factors that could cause actual results to differ materially from what is stated here today. These risks and uncertainties are provided in the earnings release, the slides and other documents filed by the company with the Securities and Exchange Commission. These documents can be found on our website or at sec.gov. I want to also point out that during today's call, we will discuss some non-GAAP financial measures, which we believe will be useful in evaluating our performance. You should not consider the presentation of this additional information in isolation or as a substitute for results prepared in accordance with GAAP. We have provided reconciliations of non-GAAP with comparable GAAP measures in the tables accompanying the earnings release, as well as in the slide deck. So, with that, please turn to slide three and I'll turn it over to Chris to begin. Chris?
Christopher Cashion: Thank you, Craig. And thanks everyone for joining us today. We had a strong fourth quarter that kept off a record year as our team continued to execute very well to meet increasing demand for our tools and contract services businesses. This slide highlights a number of our accomplishments, which included impressive top line growth for both the quarter and the full year as we continue to see improved market conditions and some very strong customer demand, which we expect to continue throughout 2023. The leverage that we gained from higher sales volume led to a significantly improved operating and EBITDA margins, which translated into a very strong bottom line result. For the four year 2022, we achieved our highest level of net income since being a public company. With our strong cash generation, we continued to strengthen our balance sheet by reducing debt 33%, while making significant capital investments to expand capacity to accommodate increased work and in support of future demand. Now let's turn to slide four, which provides an overview of our revenue growth. Q4 revenue grew to $5.3 million, up 33% year-over-year, reflecting the recovery of the oil and gas market in North America, which resulted in strong demand for our Drill-N-Ream, and contract services businesses. We also saw improving market conditions in the Middle East where we were beginning to gain revenue traction. For the full year 2022, total revenue increased 43% to $19.1 million. We have been benefited from an increasing rig count, although we did see rig recount growth moderate in the second half of calendar year 2022. The average US rig count was 775 in the fourth quarter, up 14 rigs from the sequential third quarter and up 216 rigs from the average in the fourth quarter of last year. Over the near term, it is our expectation that the North American rig count will stabilize around these levels. On the international front, we have seen strong revenue growth, up 79% in the quarter, which reflected in improving market conditions and a strengthened technical sales and marketing team in the Middle East. This team is opening doors and driving greater awareness of our Drill-N-Ream value proposition. Our international sales mix increase to approximately 14% of total revenue during the quarter. As you may recall, this mix had been hovering around 10% for the last year or so. We are very encouraged with the many opportunities in the Middle East region and expect that mix shift to continue to trend upwards. Now let's move on to slide five and review a breakdown of our tool and contract services business. Fourth quarter contract services revenue was $1.9 million, almost double the prior year period, and was up 65% to $6.7 million for the full year. We continued to successfully meet our long-term legacy customers' growth in demand for manufacture and refurbishment of drill bits and other related tools. Tool revenue also saw measurable growth for the quarter and year, given our improved market penetration in the Middle East, and as our North American channel partner continues to drive new tool sales. We're also benefiting from increased activity on more rigs, which leads to higher repair and royalty revenue. As you can see on slide six, we have continued to invest in people to address customer demand while still fighting inflationary headwinds for payroll, raw materials, and other costs. Importantly, though, we have effectively leveraged those expenses with higher sales volumes, which drove significantly improved operating income of $700,000 in Q4, and $2 million for the year. Of notes, while the increase in SG&A reflects our workforce expansion, it also includes continued litigation costs associated with the company's patent infringement lawsuit. Just as a reminder, we are suing third-party over violations of the patents on our drilling rig tool. During the fourth quarter. The lawsuit progressed rapidly with interrogatories, production requests and depositions, thus the reason for higher legal expenses in the quarter. As of now, the jury trial is set to begin in the fall of this year. Now, on slide seven, we have our bottom line and adjusted EBITDA results. Looking at the annual charts on the right, it really demonstrates the progress we're making to grow our business in order to enhance our earnings potential. Our adjusted EBITDA margin for the year expanded 500 basis points to 24.7%. There are a couple of items to point out within the quarterly results. 2021 fourth quarter included a $700,000 other income item related to the recovery of a related party receivable, whereas the 2022 fourth quarter did not have a similar benefit. Also, you will see a slight dip in the adjusted EBITDA from third quarter. This was the result of that additional litigation expense that I just mentioned previously. Now moving onto slide eight. We highlight our balance sheet, which has continued to significantly strengthen. Cash generated from operations for the year was $3.5 million, a significant improvement over $500,000 in the prior year. This change reflected higher net income and improved working capital, partially offset by an increase in inventory to combat some supply chain inefficiencies and an increase in that inventory to support our growth. Total debt at year-end was $1.7 million, down 33% from the end of 2021, largely due to the final $750,000 principle payment that we made on our Hard Rock note in October of 2022. Full year CapEx was $3.3 million, consisting of two new machining centers, an increase in Middle East Drill-N-Ream tool fleet, and higher maintenance activities. We ended the year with 2.27 -- $2.2 million of cash, a solid cash position considering our CapEx investments and debt paydown throughout the year. Now let's move to slide nine, which provides our guidance. We expect 2023 revenue to be in the range of $24 million to $27 million, which implies top line growth at 34% using the midpoint of that range. SG&A expenses are projected to be between $9 million and $10 million. This is a step up from where we ended in 2022, largely reflecting litigation costs of approximately $1 million related to that ongoing patent infringing lawsuit. The SG&A expectations also taken into account the investments we're making in our international technical sales and marketing team, which will drive future international growth. Despite those added costs, we expect adjusted EBITDA in the $6.5 million to $7.5 million range, which implies an EBIDA margin of 27.5% at the midpoint. That level is nearly 300 basis points higher than our 2022 results. Lastly, we are targeting capital expenditures of between $3 million and $3.5 million. This is generally in line with the past year's investment, though the focus will largely be on international new tool additions to our fleet in the Middle East. So, with that, I'm going to turn the presentation over to Troy to wrap it up with a review of our outlook and opportunities both in North America and the Middle East region. Troy?
Troy Meier: Thanks Chris, and thanks everybody for joining us today. We turn to slide 10 for the outlook and opportunities. We'll start with North America and talk a little bit about what we have going on there and what those opportunities are. One of the things that we're seeing right now is, is our channel partner DTI continues to make penetrations into the market, selling the value of the Drill-N-Ream tool. We're also starting to see their inventory start to roll over as these tools that they have are hitting their life cycle. We're starting to cut out tools and replace those tools with new Drill-N-Ream. We're also seeing operators that are changing over to different drilling programs, mainly going to different connections, threaded connections based off of the drill pipe that they can get or change in the well profile itself. And that's driving Drill-N-Ream sales as well. These operators are able to now -- like in the Delaware, we've got operators that are drilling three and four mile laterals using the Drill-N-Ream. So, it's -- a lot of excitement around the tool and what's going on there, and we're very proud about what they've been doing. When you look at our legacy partner, when we talk about the refurbishment, they're doing a fantastic job in creating more market share for them. They're penetrating the markets deeper with their product line, and we're seeing those volumes increase. So, we've geared up for that. We've trained for that. We've got the right people in place, and the team has taken care of that need, that demand, that very strong demand very, very well. But you see on -- when we look inside of our facility, when you go to the campus, you're seeing, we've got two new machining centers that we talked about. We purchased those at the end of last year. We've got those in place and now they're up. And Roland, we're very excited about the increase in our manufacturing that those can do. But it also gives us that backup, if you will, that that safety net. Before we just had on large drilling tools, we had two tools that could work on, or two machining centers that could work on them. And now we have three and they're busy. We're putting out a lot of Drill-N-Ream, and it's very exciting to see. We've got managers that have taken ownership of their departments, and we've got QMS systems, very strong ones that are now taking hold. And the quality and the structure around that quality system is really impressive to watch. We've got -- we've put in place our safety management system. We've implemented that -- our SMS system, we call it, and we've created specific training modules just for Superior Drilling Products. Lot going on there. We've hired well. We continue to hire. We're retaining team members, and we're getting them trained right and rapidly and getting them out into the shop floor where they're becoming a very productive part of our team. If we look at the international scene, like Chris said, there's a lot of excitement there. We have -- our team over there is doing a phenomenal job. We've got a very highly technical sales and marketing team now in place that is identifying the customer's needs and understanding the PDC product itself. And it's bringing in large demands for our tools. And speaking of large, we have a -- we have a very heavy demand for large tools. When we look at the tool size here in North America, you're going to -- you average right there in that eight inch size range between -- we're on a lot of six inch size range. We run some 12-inch, some 10. Over in the MENA region, where we've introduced the Drill-N-Ream and been able to prove its value. We're now running 16 inch tools. We're getting requests for 17-inch tools, which we're currently making, putting those through production and large demand. Lots of 12-inch series tools. So the size of the tools that we're seeing going over to our Mid East team are much larger than we have here. We're having record setting performance. Our team is setting down with the operators and identifying good opportunities for the Drill-N-Ream, and we just had some record setting runs in Oman, with the longest laterals that they've drilled to date both of them used in the Drill-N-Ream. So, we have a lot of excitement around the product line over there and the opportunity that we have. You heard us talking about the technology center that we're putting over there, the service and technology center. We look to have that opened in Q2. The equipment is being installed, manufactured and installed. That's going to open up a tremendous amount of opportunity, once we have that facility in place. What we do here in North America, we'll be able to duplicate over there is we start repairing our own fleet to enhance our efficiencies in getting that inventory repaired and back out into the field. But we also are going to be able to look at the opportunities that we're very familiar with when we talk about the refurbishment of large servco product. We're very excited about that as well. So, when you look at overall what we've got for opportunities going forward, it's -- we're very, very pleased with what we've been able to put into place and how it's starting to develop and prove out. So, with that, I'm going to go ahead and turn it over to the Q&A session.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]  Thank you. Our first question is from Dick Ryan with Oak Ridge Financial. Please proceed with your question.
Richard Ryan: Thank you. Troy and Chris, congratulations on a strong 2022 and the good outlook for 2023. I guess my first question would be on just kind of the macro energy side. Gas prices have come down pretty dramatically and that's causing some drilling in the Haynesville to kind of be put on the shelf and maybe even some rigs moving out of Haynesville into West Texas. Is that creating any issues from your outlook with what you're seeing domestically in the near term?
Troy Meier: No. No, we're not seeing any issues with that. Like you said, if they move out of the Haynesville and pick up into essentially anywhere, whether it's Oklahoma, Colorado, Utah, Texas. We've talked about the lack of people in some of these places that can actually go out there and support the standing up of rigs. And this may help that, as we start moving drilling teams and company men to these areas to stand up these rigs, I think it can be beneficial for the oil portion of the drilling here in this country.
Richard Ryan: Okay. Your efforts to expand your contract services beyond the legacy customer, where does that stand and you anticipate bringing in a second or potential third customer this year? Or will that be more of a 2024 story?
Troy Meier: No. It'll be this year. It'll be ASAP. We've -- one of the things that we've done is -- we've needed more space, more roof line within our campus as we've looked to expand. Our machining facility is now taken two of the five buildings. And so, we've moved all of the Drill-N-Ream operations off campus to a new facility, and that's opening up 7,000 square foot in an independent facility. So, essentially, building one will now have that ability to bring on a second customer. And we've got those parties that have been waiting for us to get this done. We have agreements. We have agreement already in place, and we're looking forward to expanding on that opportunity. And we've just -- we want -- it's -- we've got to keep work separated. We can't co-mingle anybody's product line. So, we've been waiting for this opportunity to expand and then keep exclusivity in one facility to one customer, an exclusivity in another facility to another customer. We don't want anybody ever crossing over and saying, hey, we got technology in there that we don't want our competitors to see. So, we're keeping that, that very, very much segregated. But yeah, you'll, you'll see us start doing that very soon.
Richard Ryan: With a second customer, would you be taking business away from their internal group of refurbishing? Or is that -- will you be taking it away from another third-party that's currently doing it?
Troy Meier: No, nobody uses a third-party. As far as I know, we're the only third-party out there. We're just supporting -- we're supporting the efforts internally for these companies. They -- it's an issue that we have with everybody out there. When we look at the big servcos and them trying to manage people, it's a difficult task and we feel that we're setting very well in our portion of Utah. We've got a very dedicated workforce. And what we're doing is just supporting the needs where they cannot get this done in house. And so, we're stepping in and doing it for them.
Richard Ryan: Okay. Okay. One last one for me. On the international side, Dubai has seen a significant increase in property values, whether you're owning or renting. Has that caused any issues and you standing up your facility there and it looks like you're going to be hiring and doubling the staff? Can you give a perspective of, let's say, how qualified that staff will be at the end of 2023 versus what you've had at any other previous time over there?
Troy Meier: Our current staff right now is very, very qualified. We're hiring the right people that have spent time in the high end sales and marketing of very large companies, and they know the ins and outs on the sales and marketing, and they know the technical presentations that their customers want. I'm extremely impressed with the people that we've been able to bring on over there -- over the last year. It's amazing. We've got a team that does post-run reports and shows our customers the value of the product we just --they just ran. We've got -- we're targeting sales. We know that the tools that we're making today, we know what holes they're going in five, six months down the road. We're just not making product to say, they're picking up rigs in Kuwait, they're picking up rigs in the UAE, so let's build a larger inventory. Our team is directing these sales at drilling products, or sorry, projects, and they're doing a tremendous job with that. So, I couldn't be anymore -- I mean, our team over there is doing a phenomenal job and we're all -- you're going start to see the benefits of that as we roll through this year and go into next. It's amazing what they're doing.
Richard Ryan: Great. Thank you and congratulations again.
Troy Meier: Thank you.
Operator: Thank you. Our next question is from Ignacio Bernaldez with EF Hutton. Please proceed with your question.
Ignacio Bernaldez: Hey, Troy and Chris. Thank you for your time today and congrats on the quarter.
Troy Meier: Thank you.
Ignacio Bernaldez: Yeah, of course. I guess to start, could you talk a little bit about some of the challenges in entering the Middle Eastern market that you -- that you're facing right now or potentially looking to face?
Troy Meier: Right now, our biggest challenge is as we gear up, is supplying the demand. It's -- as we go into larger tools, like I'd mentioned, our average size over there is, is over 12-inch. And so be getting that inventory designed and put in the hole, that's what we're doing right now. We're having a strong demand for upcoming drilling programs and we're really just working right now in two countries and we'll be going into a couple more by year end. And we're getting pooled into these countries with the request of now that they're starting to see what the Drill-N-Ream value is. Really if you look at the struggles and the complications that we were having or had, it was us going over there as an extremely small company trying to step across the pond and figure out how to do business in the Mid East. And there's -- we went over there in 2018 and we started looking and we started working with servco and figuring the ins and outs of how you -- just -- I mean the banking, the invoicing, the logistics, and it's never consistent. It seems to always be changing and -- but we've now got a team that -- the banking has become an easier, and the logistics, we're starting to understand much better. Our customers now understand the value of our tool. And we've got enough past performance now that we can set down in front of them with past performance and show them what their custom -- our customers have been able to save and achieve by using our product. And it's -- I'm not going to say it's become easier because it's just -- it's a lot better struggle now than what it was before. Because now that -- now the struggle is building that company to -- and I shouldn't say it's so much of a struggle as it is just a challenge. And we're up to the challenge and our team's doing a fantastic job. So, I feel much better about our Mid East opportunities today than I did a year ago or even two years ago. I mean, it's -- we've got a good reputation over there and our tool is showing tremendous value.
Ignacio Bernaldez: That's really helpful. Thank you very much. And again, congrats on the quarter.
Troy Meier: And keep in mind, when you look at over there, they're adding rigs, they're -- when you look at the amount of rigs that they're bringing into that they're going to be standing up in the Middle East, it's pretty impressive when you see the amount of rigs that some of these countries are bringing in and going to start standing up.
Ignacio Bernaldez: I guess one quick -- thank you for that. And one quick follow up to that. I guess if you could just walk me through kind of difference in margins between products in North America and the Middle East and how we should be thinking about that.
Troy Meier: Yeah. It's -- once we kind of get to a consistent run rate in the Middle East like we have here in the U.S., the margins going to be really similar. We're building -- we're putting cost in SG&A. We're building tools. Depreciation expense to be hitting the P&L. And so, those margins are somewhat depressed in 2023 as we move forward because of the investments that we're making.  So, when you start looking in 2024 and beyond, you're going to start seeing margins very similar to the U.S. The interesting thing about the Middle East is that generally you start with a higher top line and that's what the Middle East is kind of known for you. You increase your prices in the Middle East versus the U.S. But what a lot of people don't really fully understand is you're got expenses that you're going to incur. And so by the time you get to a bottom line, you're -- it's going to be pretty similar to your U.S. margins. And sometimes there's a thinking that, yeah, you're international and then the margins are going to be -- just two x, revenue might be two x, but cost might be two x as well. But the bottom line is the margin is going to be similar. But I wouldn't look for them to be similar in 2023. We're growing that business rapidly, and so we're investing in it heavily, as we've said. And so, I would expect the margins to be somewhat less in 2023 versus 2024 and beyond.
Ignacio Bernaldez: Thank you. Thank you for the color. I really appreciate it.
Troy Meier: You bet. Thank you.
Operator: Thank you. Our next question is from John Sturges with Oppenheimer. Please proceed with your question.
John Sturges: Thank you very much. Congratulations on the year and actually you've come through quite a period, overcome many obstacles, so I'm just glad to see it. The question I have is really the color, going from an 18-inch, an 18, sorry, an eight-inch wellbore to 17 with the Drill-N-Ream, which is -- has superior characteristics that increases the board surface by about 3.5 fold. Is there an efficiency of the well that is driven by that, and is that one of the drivers that the drilling rig brings to production?
Troy Meier: Yeah. We see in the top part of the whole, in the midsection of the wells that are drilled that we're seeing in the MENA region. It's a lot different formations than what we're used to drilling here. It's a tougher. It's got a lot of caverns. It's hard on tools. It's hard on -- you get a lot of lost circulation zones. And so, it's a difficult. It's a difficult section for operators to drill. It's always challenging. And so what they like to do is with the Drill-N-Ream, if they can -- if they can get that wellbore conditioned and get that casing down in there and get behind pipe, get those areas behind pipe, the quicker they can do that, the better off they are. It gives them an opportunity to not lose the well. And so what we're finding with Drill-N-Ream is it helps them do that. We always talk about, we increase that drift. Probably a good way to put some color around it. If you were to -- if you were to look at, just look straight down here -- there's a good -- there's a good report that [indiscernible] in some of their wells up in the Bakken. And they -- you can look straight down in a -- down in a vertical well, and they used to measure that well. They would go from every 120 feet, they would take a reading and they would see what this -- the trajectory of this well was doing. And there'd be a little bend to the right, little bend to the left. But when they started measuring that every 30-feet, it gave them a totally different picture. And this one case that I was shown an eight and a half inch hole over a period of -- I want to say it was 260-feet. The actual diameter, passed through diameter was less than five eights of an inch. So, if you can think of looking in an 8.5 inch hole, and by the time you look all the way to the bottom, you're just -- you can -- you're seeing through less than five eighths of an inch. And typically you just -- your casing will bend and it goes down in there and you get it cemented and everything's fine.  But if you can increase that drift, if you can take that Drill-N-Ream and increase that drift to where now you don't have pressure points on that casing, and your cement -- and your cement job is much better and much more uniform, what you're going to find is those wells that you drill today are going to take less maintenance two years from today when you don't have to go back and repair your casing where it's got pinch points. And so that's something that we see a big need for when we're talking that international market. And why do they use those big tools up higher in the hole? Did that answer your question? 
John Sturges: No. It's a great answer by the way. But not quite. I'm thinking about the horizontal section. Would a larger diameter tool, it will produce a greater surface area. And would that then be more of an efficient well. And the Drill-N-Ream has the reputation for being more energy efficient to the larger, going from eight to 17 inches. That by itself would increase the surface area by 3.5 fold. I'm just wondering if --?
Troy Meier: Yeah. When you look at the larger tools, everything that we do that's larger is all in the upper sec. It's before the curve. It's all above the curve. So, yeah, that's probably a good chance to clarify. When they go and do their curve and lay down and start drilling their lateral, they too are starting to -- they go to the six-inch series. So, the large tool to be able to be able to get the torque that would be required to take that size of drill pipe and that size of BHA and rotate it over a distance in a lateral, we'd really have to start designing new stronger drill pipe. And we'd have to really be able to increase. Right now, if you look at the pumps that they have out there, it wasn't that long ago -- I would design products to that were -- the gallons per minute would be 200, 210. And now we're at 800 plus gallons per minute, as we drill these wells so quickly with the smaller diameter lateral. I can't imagine the size of pumps that we would have to have to be able to bring the cuttings from a 12-inch or a 14 or a 16 or an 18-inch wellbore and bring them around the curve and up the surface. That would be incredible. I'm not saying it couldn't be done, but it's probably something that's further down the road.
John Sturges: Okay. I really appreciate you entertaining the question. That was very helpful.
Troy Meier: Thank you.
Operator: [Operator Instructions] Our next question is from Paul [indiscernible] with -- private investor. Please proceed with your question.
Unidentified Analyst: Hello, sir. Congratulations on doing a good job.
Troy Meier: Thank you, Paul.
Unidentified Analyst: Okay. Is there any consideration at all going forward of making an acquisition to compliment the company?
Troy Meier: Yes, that's one thing we have our eye on. As we're going forward, we were mentioning this to investors last year. We have our M&A hats on, and I think you'll see us bringing on a banker here before too long that we're -- as we invested the proper banking team. Yeah, we know we've got a scale and scale much quicker than we currently are, but the one thing we wanted to do was prove the value of the tools and service that we provide so that the people that have invested into Superior get a good return on their investment.
Unidentified Analyst: Is that one of the reasons why you're increasing the cash position?
Christopher Cashion: Not really. It's more the need to fund additional tools into the Middle East. It's more organic growth, is the reason that we're looking at improving our cash position. When we're talking about acquisitions, that that'll be -- when did you go external on that? When did you raise that capital? But no, this just -- our cash is going into organic growth.
Unidentified Analyst: Okay. And I have one last question. I know you're primarily involved in the oil business, but is there any consideration of maybe dipping into the mining sector?
Troy Meier: We've done some work in the mining sector in the past. Typically, what we look at is -- they look at very small. If you look at our expertise on the bits and the reaming tools, that sort of thing is typically done in small sizes and large volumes. And the equipment that we have that work envelope is for large tools. And so, we get requests and there's sometimes that we'll step into the mining sector, but it's going to have to be something that we look at and say, do we want to invest in the equipment to do that? But it's something we look at. And every once in a while we'll do something for the mining sector, and it proves out -- it proves to work. But then when we look at the price and our -- we just keep sliding back into the oil and gas sector. But I'm not saying it's something we won't entertain here as we go forward. We're very familiar with it.
Unidentified Analyst: Thanks for answering my questions, gentlemen.
Troy Meier: Thank you.
Christopher Cashion: Thank you.
Operator: Thank you. There are no further questions at this time. I'd like to hand the floor back over to management for any closing comments.
End of Q&A:
Troy Meier: I want to just tell everybody thanks for joining us today, and we look forward to presenting our Q1 here -- what two months is that …
Christopher Cashion: Next week.
Troy Meier: … seems like next week. But no, we're looking forward. I mean, it's very exciting. We're having -- we're busy. We're incredibly busy and we've got an incredible team and we're looking to start really capitalizing on this. So, we look forward to seeing you here with Q1 report and yeah, what is it? Two weeks?
Christopher Cashion: Two months.
Troy Meier: Two months. Two months, sorry. So, thanks again and thanks everyone for joining us.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.